Operator: Good morning, everyone. Hello, and welcome to James Fisher and Sons plc 2025 Interim Results Earnings Call. [Operator Instructions] Finally, please note the disclaimer on Slide 2. And with that, I will now hand over to our Chief Executive, Jean Vernet.
Jean Vernet: Thank you, Sam, and good morning, everyone. Thank you for joining our 2025 interim results earnings call. I am joined by our Chief Financial Officer, Karen Hayzen-Smith, and we'll start by walking through our business highlights for the 6 months ended June 30, 2025. Karen will provide an overview of our financial results at group and division level, and I will conclude by giving an update on our turnaround progress and how we are positioning the group for the future. This will then be followed by our outlook before we turn back to Q&A. So let's start with the highlights. We have delivered a solid first half performance. I am encouraged by the trading with our turnaround progressing as planned. We are committed to following our principles of focus, simplify and deliver with improved synergies being achieved through the One James Fisher model. We have a clear plan in place to achieve our vision, while we are building our resilience to adjust course if it becomes necessary in a world of growing uncertainties. Our path to 10% underlying operating profit margin will be delivered through executing on supply chain integration, self-help, turning around underperforming businesses in our portfolio and scaling JFD. We are making progress across all these priorities. Conditions in our key end markets have been largely supportive through the first half of 2025 despite growing macro and economic uncertainties. This, alongside our focus on business improvement, enabled us to deliver a solid financial performance with steady revenue and encouraging operating profit levels after adjusting for the impact of disposals. We also have seen an improvement in underlying return on capital employed, the key metrics for our group. Covenant leverage at the half year was 1.6x, slightly above our target range of 1 to 1.5x. This reflects 1H investments in key Energy and Defense subsegments where we see opportunity for growth. The first stages of our turnaround have helped us rebuild the fundamentals of our business, resulting in a strengthened balance sheet and a simplified portfolio. We are a leaner, more coherent company with a stronger culture of accountability and performance across the business. While we continue our turnaround, we have a number of exciting accelerators we discussed at the last year-end that are positioning the group for growth. These have driven the Defense order book up 45% year-on-year to GBP 350 million. I will cover on this in more details later. We are James Fisher. We presented a snapshot on our activities at our year-end results in March. Let me quickly go through our portfolio. Across the three division verticals, we solve our customers' complex challenges in the blue economy in a unique, innovative and agile way. The Energy division helps our customers to meet growing energy demand globally, more efficiently, safely and sustainably as they progress through their energy transition road map. The Defense division supports and rescues lives underwater, thanks to our global leadership in submarine rescue, stealth mobility solutions for special forces and rebreathers for combat divers. We deploy and serve our customers wherever they need us in the world, promoting a viability and interoperability across partner nations. Maritime Transport ensures on-time delivery of critical energy products for coastal shipping in selected geographies, but also enables ship-to-ship transfer of oil and gas third-party cargoes globally. We have the highest reputation for safety and quality, and this explains why we have many customer relationships extending over decades. I will now hand over to Karen, who will walk us through the financial results. Over to you, Karen.
Karen Hayzen-Smith: Thank you, Jean, and good morning, everyone. I'm pleased that we have been able to make progress in the first half of the year and to deliver a solid set of results. The business has stabilized from the disposal of RMSpumptools and Martek last year, and we have managed to reduce costs as appropriate given the drop in revenue, whilst also bringing new capabilities and investing in CapEx and new innovation to position the group for growth. I will start today with the headlines. Disposals in '24 have had an impact on the financial comparatives, and therefore, it is more appropriate if we consider the results adjusted for these and illustrate movements on a like-for-like basis. Revenue was steady across the group when compared to the H1 '24 period with an operating profit up 14.4%, resulting in a margin of 5.8%. Net debt was GBP 72 million on a covenant basis to give a net debt-to-EBITDA ratio of 1.6x at June '25. This is slightly above our target range but reflects investments in growth made in the first half. Lastly, return on capital employed also increased slightly to 5.1%, a 20 basis point uplift. The next slide shows the movements in revenue over the period. The overall decline in revenue related to the disposals that we made in the second half of '24. Excluding these, though, revenue was up, but this was more than offset by the impact of FX. Overall, there was good revenue growth in Energy Services, which continued to have a strong performance in Well Services and also in renewables through the Bubble Curtains product offerings. Maritime Transport Tankships had a solid performance, but Fendercare was down as a result of low LNG market despite an increasing demand in Brazil. Moving on to operating profit. We saw an increase in profit to GBP 11.1 million and a net increase in margin contribution by GBP 2.2 million as a result of improving underperforming businesses and cost reductions. The H1 period in '24 included a GBP 3 million one-off gain on the sale of life of field assets, which offset a GBP 3 million loss on the decommission business. This business has now turned to profitability, which represents a GBP 3 million uplift on the prior period. We've also made cost savings across the group, such as reduced insurance premiums, audit legal fees and savings associated with restructuring of businesses and functions to consolidate and reduce duplication. However, we have used part of these savings to invest in areas required for growth, such as customer excellence, including strengthening sales teams together with technology and innovation. Therefore, overall, we have made around a GBP 5.2 million improvement on '24. The overall net result is a margin improvement to 5.8%. And there are, of course, more opportunities to reduce our cost base as we continue to simplify the group whilst we build capabilities required to position for scale. The next slide shows the margin improvement that we have made on a like-for-like basis over the last few years. We have been focused on turning around businesses and becoming more efficient to provide a platform for growth and achieve our 10% margin target. The margin dropped following the disposals, but is increasing in the period. And as outlined previously, there are steps we will take to increase margins further, which Jean will talk about in more detail shortly. If we now turn to look across the divisions, overall, Energy had a solid first half with revenue slightly down. However, if revenues adjusted for the impact of the legacy Mozambique port project, which will not repeat and was completed in the period, revenue would have actually been up 6.9%. This contract had around GBP 7 million higher revenue in H1 '24 than in '25. Energy Services had a good performance throughout the period with continued demand for compressors and Well Services. We have experienced a delay in some projects in Africa moving to '26, but otherwise, markets have been robust. In Renewables, there was improved revenue from offshore wind construction activities, which uses our Bubble Curtains technology, and we have managed to turn around the decommissioning business, which is now profitable with an increasing pipeline of opportunities. On a like-for-like basis, operating profit was up just under 17% as a result of the stronger performance in the restructured Subsea and Decommissioning business with a margin up 180 basis points to 11.3%. We continue to see demand for all activities across both oil and gas and renewables and across the existing markets of the Middle East and Asia. The U.S. offshore wind market has seen projects paused and resumed as they are reviewed by U.S. administration, but this is not expected to impact revenue materially in '25. Moving on to Defense. Revenue increased year-on-year by 3% to GBP 37.6 million, driven by solid performances across the majority of the product lines together with an increase in operating profit. Submarine Rescue was down slightly as a result of the phasing of customer exercise schedules. The H1 outturns do not fully reflect the revenue generation from the orders secured in Q4 '24, and we should start to see progress coming through in the second half as activity on the contracts build given a higher percentage of secured revenue going into the second half. The order book at June '25 was GBP 315 million, up 45% compared to the prior year. We are investing in development expenditure for innovation and new product development, and we have incurred costs investing into new markets such as the U.S. The Defense market continues to be supportive, and we continue to see growth potential in Defense across all product lines. Moving on to the Maritime Transport division. Tankships saw revenue up 5.9% as a result of improved rates and good utilization to GBP 42.8 million. The Cattedown business had a solid period with petroleum and dry cargo volumes remaining consistent through the port. And on a like-for-like basis, Fendercare's revenue was down 10.8% to GBP 25.7 million in the first half. Results for the business, though do not fully reflect the improvements made in Fendercare in the first half with a restructured team and our focus on increasing sales and building new customer relationships. Brazil had a good performance, and we have entered operations in Uruguay, having our first operation in September, and Fendercare should see an improved second half. I'll now pick up in some other areas of the income statement. The benefit from the debt reduction and refinancing last year can now be seen clearly in the period with finance charges, including lease interest, down from GBP 14 million to GBP 8 million. The GBP 8 million comprises of GBP 4.4 million of bank interest expense, GBP 0.5 million of facility fees and around GBP 3 million of lease interest. The tax expense on underlying profits from continuing operations for the period is GBP 4.1 million, with the increase in the prior period coming mainly from increased taxable profits in Brazil. Given that we've not been able to take credit for certain tax losses across the group, the calculated underlying effective tax rate is significantly higher than you would expect. The effective tax rate, though, is still around 29% when companies with tax losses are excluded. If we turn to the statutory reporting figures, the majority of the costs here relate to transformation and restructuring of the group, including redundancy costs and certain project costs. There were also various legal costs related to the finalizing of disposals in previous periods and some other ongoing matters. On to cash flow. Working capital continues to be a focus with DSO days below previous levels, but they have increased slightly to 45 days from 42 days in '24, which was mainly the result of the timing of payments in Africa. CapEx, including development expenditure, was GBP 19.2 million, and this reflects investment in further compressors to meet continuing demand and expenditure on our new products across the group. Net finance interest paid was GBP 3.7 million with an average interest rate of around 8.5% for the half year, made up of GBP 4.8 million bank interest, offset by around GBP 1 million interest income. Lease interest payments with interest increased in the year as a result of entering into a longer vessel lease and also contracting additional vessels. As outlined at the trading update, net debt increased in the period from 31st of December '24 by GBP 7.2 million, largely reflecting the first half weighting of CapEx and development expenditure together with working capital phasing on certain contracts. I'll now turn to look at our borrowing position. The significant reduction in debt was outlined in detail in our year-end results in March early this year. And this slide shows the impact of the drop in debt and interest costs from where we were last year and emphasizes the progress made. And although net debt has increased in the period, it is as a result of investment for growth. Right-of-use liabilities increased due to new vessel leases in Tankships and in Fendercare's Brazil operation, where we sought to secure a vessel given the increased volume of work in the region. Looking forward to the remainder of '25, trading to the end of August has been in line with expectations and guidance for the '25 year is unchanged. Just a few points of technical guidance to finish. CapEx and development expenditure is expected to be at similar levels as previously guided at GBP 30 million to GBP 35 million. We remain focused on affordability payback and meeting our hurdle rates before expenditure is approved. On bank interest, a rate of around 8.5% is expected before any base rate reductions. And lease interest in H2 is expected to be similar to H1, assuming a similar vessel portfolio and terms. And on tax, we are continuing to guide to a tax rate of around 29% in respect of tax payable entities. But as outlined earlier, the tax rate could be impacted by not recognizing tax credit on losses. Therefore, just wrapping up on the financial update, the first half delivered a solid set of results. This included turning around the decommissioning business to profitability, and we continue to assess those other businesses not performing to our hurdle rates. We have reduced costs, allowing us to increase margins and strengthen in areas such as commercial excellence and product innovation, and we'll continue to do so. And we have also been investing for growth, but in a measured way to maintain debt levels. I'll now hand back to Jean to take us through the rest of the presentation.
Jean Vernet: Thank you, Karen. Now let's look at the progress on our turnaround. The last 2 years, we're focused on fixing and stabilizing the businesses, and we achieved a lot. Everyone contributed to driving and executing on this agenda through incredibly hard work. And I would like to take this opportunity to recognize our employees for their grit and resilience. I'm immensely grateful for their efforts. We fixed the financial foundations of the business and are gradually improving our UOP margin and ROCE, while we have reset our debt leverage down to more normal levels. We have made good progress to define, refine and establish our core model. We remain committed to delivering on the remaining priorities of the turnaround, building on what we have completed so far in prior years while kicking off initiatives that position the group for growth. These are enabled by creating a culture where our people can thrive, harnessing innovation and technology and bringing new products to market across the globe, expanding our reach and market presence. Let's discuss the progress on these priorities we shared with you during our full year results. Exceptional safety remains our #1 priority, and it is central to our business model. This is measured through a reduction in total recordable case frequencies, which is a standard measure of safety. And while the numbers do not yet reflect the change of culture so far, when I look at where we are after 3 years of efforts, I can see a deep positive shift across the enterprise. Customer excellence places our customers at the center of the business. We are implementing a commercial framework of the highest standard consistently across all our divisions. We are progressing against these profitability targets underpinned by revenue growth. On people, we continue to execute on our 5-year strategy to attract, retain and invest in our talent and expertise. We gauge progress through our engagement score, and we are on track to deliver our annual employee survey in 4Q. I will delve deeper into some of our people strategy shortly. In new product development, we are driving technology and innovation through a pipeline of unique products and solutions. This is monitored through the market introduction of a number of products every year and are measured by revenue vitality. We are progressing with discipline, but a lot of work remains to be done, and we will communicate vitality levels at the year-end. In strong supply chain, we are building on progress we started in 2024. We are continuing to build and integrate a stronger supply chain, which is measured through our cost savings and is a key contributor to gross margin and ROCE improvements. We are on track to achieve our 2025 targets and with further potential areas identified. I will now walk through the bridge to achieving our 10% UOP margin, a key measure of our turnaround. We have 4 tactical levers in achieving our 10% OP margin, each equally balanced as far as their contribution. The slide shows how we are tracking progress starting with business performance. Every component of our portfolio must achieve the returns above our hurdle rates. We have seen good performances in Energy Services and Maritime Transport Tankships. Our efforts on the commissioning are paying off, while we continue to focus on improving other parts of the portfolio such as IRM, James Fisher Renewable and Fendercare. We also see additional opportunities to improve performance across the board. In 2024, we also launched a self-help program to calibrate and reshape our support functions, providing better support to the division as they scale, driving productivity that will lead to higher profit fall-through. We are seeing positive progress aligned to our geographic growth plans. Number three, as we move to Defense, revenue has been subscale. And whilst the first half of this year has seen an improvement in revenue, we still expect to achieve a lot more. As Karen mentioned earlier, we have booked some early successes for JFD and our order book continues to grow. This step-up in revenue will result in a healthy fall-through to operating margin. The unprecedented commitment for larger Defense spending around the world is attracting sharper competition, but our focus is on regaining our leadership in this dynamic environment. Finally, we started a 3-year supply chain transformation journey to integrate and strengthen the function. We are making good progress becoming a leaner, fitter practice that can strategically support our business as it positions for growth. Now we will not intend to stop our ascent once we get to 10% UOP margin, but we must first reach that first milestone. As part of our transformation journey, we are now positioning the company for growth. We are doing this in three ways: first, aligning closely to our strategic markets for Energy and Defense, while Maritime Transport provide predictable cash flows; second, focusing on developing our people to leverage our innovative and global culture of service as a key differentiator. And third, accelerating the introduction of new products to markets where we can drive the value to our customers, supporting the megatrends of security, autonomy and electrification around the world. Now let's spend a few minutes on each one of these. When it's about aligning to strategic market, within Energy, in the first half, we have extended our decommissioning offering into offshore wind, initially with the development of the world's first mono pile removal system in partnership with a major developer. In Norway, we are contributing to the country's decarbonization ambitions, investing in electrifying the rig through our well service fleet. We made good progress on key contract wins in renewable and decommissioning while maintaining our market-leading position for Bubble Curtains in the U.S. and in Asia. We also established a new base of operation in Guyana. Now in Defense, we have invested in new product development across tactical diving vehicles, submarine capabilities and our next-generation stealth multiple rebreather. We also have won long-term contracts in defense diving and submarine solutions across the U.K., the U.S. and Asia. This includes a large contract award with submarine platforms, an important win and a large contract award with the U.K. MoD. In the U.S., we were awarded a foreign comparative testing contract for our Carrier Seal tactical diving vehicle, and we secured an important rebreather order for combat diving as part of the 5-year replacement program. We also have sealed a strategic collaboration agreement with Saab for the Swedish and international markets. Geographically, we opened two new bases in Australia and entered into a U.S. special security agreement anticipated to complete in the second half. Now in Maritime Transport, we have continued with our fleet replacement construction with 4 vessels due over 2026 and 2027. We started embedding new product development with the first market introduction for Fendercare due for launch in the second half of this year. We also secured a memorandum of understanding with the U.K. MoD to provide support in times of needs. Last year, we pioneered the world's first ammonia STS transfer, which we repeated in the first half in Holland. We also made -- sorry, we have also acquired 2 new vessels, cementing our commitment to the Caribbean coastal shipping market. Geographically, we opened a new base in Uruguay to underpin our expansion in Latin America for Fendercare. I'm also pleased that we have made progress on our One James Fisher geographic expansion, including the launch of our Japanese entity in the first quarter of this year, acting as a support to all three division developments in that country. I'll move to the next slide to outline how we are investing in our people to enable that growth. Today, we employ around 2,000 people globally across 25 countries in most major operating regions. We differentiate as trusted adviser to critical customers with deep expertise working in complex and hazardous environments. This is demonstrated through credibility, superior service and our ability to innovate. We continue to invest in our strategy to attract and retain talent. Our recently appointed CHRO is doing a fantastic job at building the foundations of our people strategy. By embedding robust HR and talent management frameworks, we are equipping the team at every level with tools, support and our opportunities to perform at the best. We are launching our One James Fisher leadership framework that will see nearly 400 current and future leaders complete this 2-year program. This initiative contribute to building a strong pipeline of talent who will execute our strategy. We are a service technology company at heart, and our people are the driving force of our business. Now moving on to our technology and innovation. James Fisher is naturally innovative. That's innate to us, but our past approach was inconsistent, and we were slow to commercialize new products. Following the appointment of our Chief Technology Officer in early 2024, we have developed and embedded a new product development approach that is being deployed across the entire company. This discipline follows a strict process that enables us to translate our customer needs into innovative solutions that solve their most critical issues. By levering partnerships with customers, academia and supply chain, we can deliver an agile innovation pipeline, and I'm happy to report that the progress made on that front are ahead of my expectations. In 2025, as I touched on earlier, we have maintained a sharp focus on new product development that will support our growth ambition across the three divisions. Initial launches are expected across all divisions by the end of the year. So in conclusion, we delivered a solid first half financial performance in 1H '25, and we continue to progress our turnaround. Our focus remains on delivering our priorities and positioning the group for growth. Innovation forms a key part of our growth plans, and we made great strides in the first half with new product development with encouraging engagements from our customers. We will continue to target investments in these growth areas where we have the greatest opportunity to differentiate ourselves and accelerate our offering to customers, mostly within Energy and Defense verticals. We are now a leaner, more agile group with a strengthened balance sheet and a simplified portfolio. We are well placed to achieve efficiencies and synergies with a more coherent enterprise. This enables us to consider a broader range of investment opportunities. The market was largely supportive in the first half. And looking ahead, we anticipate that some growing macroeconomic uncertainty may affect oil and gas in the second half of the year. We remain cautious, but do anticipate the market will return from 2026 onwards. For now, the second half started with trading to date in line with management expectations, reflecting our second half weighing seasonality. With a continued focus on cost discipline, continued self-help and driving our strategic priorities, our outlook for the year remains unchanged. So we have concluded our half year 2025 presentation, and we'll now turn to questions. Back to you, Sam.
Operator: Our first question comes from Gerald. He types, what is involved in the U.S. special security agreement? Is that market really open to non-U.S. companies?
Jean Vernet: So we have had some ongoing business in the U.S. either directly from overseas, from the U.K., from Australia for years, but these were by definition limited. And we also have promoted our products through local channels, in particular, in the rebreather segment. By establishing the special security agreement, which is attached to our JFD North America company, we can now directly interface with the various military organization in the U.S., be it under our name. And because of what we bring is being so unique to the market, in particular to the U.S. market, we see that as a fantastic future opportunity for growth. The size of the market is massive. And this will require for us to increase our local presence for sure. But because of the special security agreement, it kind of breaks some boundaries that we were subject to before. So it's actually quite an important milestone for us.
Operator: We have a couple of raised hands. We'll start with Thomas Rands.
Thomas Rands: Well done on the results. Just three questions from me, if I may, I'll take them individually just to help you, if that's all right. The first one was just, could you give us a bit more detail on this -- the U.S. award for the foreign comparative testing contracts and the Carrier Seal tactical diving vehicle. Is there any more kind of info color you can give? I know you just made a comment around the U.S. special agreement, but more detail would be great, please.
Jean Vernet: Yes. So the framework of this award is a purchasing program from the U.S. military to overseas supplier directly. So that's an example where we contract from our entities here in Europe directly with this program. For, in effect, assessing, testing in situ and training the special forces to use our craft, we see that as a fantastic bench for the community to validate that our product really fits their needs and hopefully gives way to being the provider -- the special provider of this type of product for future years in the U.S.
Thomas Rands: Okay. And then linked to the rebreather contract that you mentioned, in the same kind of bullet point there about the new 5-year replacement program. Is that linked to the previous rebreather contract that you won that then got canceled? Or is this a separate one? And also, could you just talk around the selective investments you're making in next-gen rebreather, please?
Jean Vernet: Right. So this award is a different product than the one we discussed in prior years. This one is for special force combat diving, so more shallow diving. It's part of a 5-year program, which needs to be rebudgeted every year, but that's really a 5-year program replacement for which we were awarded the opportunity and this year was the first year of the 5 years. Your second question was -- sorry, what was it?
Thomas Rands: On the investment in next-gen rebreather.
Jean Vernet: Yes. So this is a launch we did back in May. If you happen to visit DSEI in London, you see some -- you'll see a sample of it. This is the next-gen system that allows for deep as well as shallow long diving. That's why it's called multi-task. It's totally stealth for demining application. It's a product that encompass all our expertise and knowledge in terms of easiness of use, easiness of breathing. But the key element of it is its versatility. It's a product that can be configured to different missions and embeds a whole new generation of technology around monitoring, around sensors and fantastic product. If you have the chance to go to DSEI, you'll see the product on our booth.
Thomas Rands: I'm going this afternoon after this call, so I'll have a look. And then the third one was just around the decommissioning opportunity in renewables. Obviously, we're mainly focused on kind of putting new turbines in the ground, not taking old ones out. So I was just wondering how big the opportunity is and what sort of time frame we should be thinking about for that kind of that new opportunity.
Jean Vernet: Right. So this job was decommissioning of a pile, which had -- which was just part of fixing a construction challenge that the customer faced. What's unique in it is the size of the pile and how smooth the job went. And it was a fantastic sea trial for us to demonstrate that our technology developed and used for oil and gas, which is in itself a massive market, can be cross used for offshore wind. As the wind farms reach the 20 years of age, they must be decommissioned and refurbished. To give you an idea, by 2030, there's going to be about 34 gigawatts of capacity of offshore wind farm that will reach their end of warranty. That doesn't mean they need to be yet decommissioned, but this gives you an order of magnitude, 34 gigawatts. That's about 40,000 piles, that when they reach 20 years, will have to be decommissioned, right? So it's potentially a massive market. Like oil and gas, it's immune to the cycle because it's by regulation, those things have to be decommissioned after 20 years. And we are gearing up for that.
Operator: Our next question comes from Alex Paterson.
Alexander Paterson: I've got three questions for you as well. And again, it might be easier if I ask them individually. Firstly, if I think about your Defense business, you've made very good progress in that. You've signed an agreement with Saab. And I'm just wondering if there's anything that you think that you can do that you've not been able to do that can expedite sort of contract awards in that area. And I'm just sort of thinking, is it that you would benefit from increased distribution in any market or other partnerships a bit like the one that you've done with Saab?
Jean Vernet: Yes. Alex, thanks for the question. This is an example of, first of all, the trust and credibility we bring to the space through this partnership with a major OEM provider of submarines and other subsea technologies. So that for us allow not only to approach in a much deeper, broader way, some of the Scandinavian navies, but also to go along with this partner around the world through their international expansion. I see that both as a fantastic amplifier of our reach around the world, one of many, but also as a great opportunity to deepen where we can make a difference through tailored innovation to a particular configuration of OEM, right? So it's really for us a double whammy. But I really want to stress that it reflects years of past cooperation with Sweden, with Saab and the Swedish Navy, which allows us to reach that stage.
Alexander Paterson: Understood. The second thing I was going to ask was the -- you mentioned that there had been a reduced timetable for submarine rescue exercises in the first half of the year. Can you give any indication of what sort of financial impact that had? And also what the outlook for exercises is, i.e., does it stay subdued for a while? Or do you expect it to pick up again?
Jean Vernet: So the submarine rescue exercises are part of the long tail of what I call aftermarket service opportunities that we have with the navies we supply. And from -- these are typically once a year or twice a year exercise depending on the various navies. And from time to time, it happens that one of them has to be either postponed or delayed or shortened for various reasons, one of them being weather, by the way. So I wouldn't take this as a significant pattern. It's just those things happen. But certainly, because these are quite high stake, it impacted our revenue. But that's kind of a reason of some of the revenue in H1, but those actually have resumed since then, right? So it's just a one-off.
Alexander Paterson: Got it. Understood. And then the last question I was going to ask was, can you say a bit more about your -- the Japanese entity that you've set up? Is that -- did you establish it because you're seeing some activity in Japan and you think that you can accelerate that with -- by having some more resource there?
Jean Vernet: Right. So Japan is important for us for many reasons. One of this is that it's located in Northeast Asia, which both for offshore wind and Defense are critical markets. And that's what drew the impetus of setting that entity because our approach to customer engagement is wherever it's possible to have a direct engagement. So a little bit like in the U.S., we have had decades of business with Japan in the past, mostly for commercial diving, saturation diving. But we see both on the defense side and the offshore wind side, a huge chasm in the sense of on the military side, massive increase in defense spending. On the offshore wind, this is one of the only way together with nuclear energy where Japan can decarbonize. And it's an inflection point for us in this market, very much like in Korea, by the way, South Korea or other places in that region. And to succeed in Japan in a deep way, I believe that we have to have a direct connection with the military, a direct connection with the developers very much like what we have created in the U.S. So we look at this with extreme excitement.
Operator: Thank you. There are no more questions at this point. And with this, we will now close the call. Thank you for joining, and you may now disconnect.